Operator: Good morning, ladies and gentlemen, and welcome to The Casella Waste Systems Q3, 2018 Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to you host, Mr. Joe Fusco. You may begin the conference.
Joe Fusco: Thank you for joining us this morning and welcome. With us today are John Casella, Chairman and Chief Executive Officer of Casella Waste Systems; Ed Johnson, our President and Chief Operating Officer; Ned Coletta; our Senior Vice President and Chief Financial Officer; and Jason Mead, our Director of Finance. Today, we will be discussing our 2018 third quarter results. These results were released yesterday afternoon, along with a brief review of those results and an update on the company's activities and business environment, we will be answering your questions as well. But first, as you know I must remind everyone the various remarks that we may make about the company's future expectations, plans and prospects constitute forward-looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements. As a result of various important factors including those discussed in the Risk Factors section of our most recent Annual Report on Form 10-K which is on file with the SEC. In addition, any forward-looking statements represent our views only as of today and should not be relied upon as representing our views as if any subsequent date. And while we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our views change. These forward-looking statements should not be relied upon as representing our views as of any date subsequent today. Also during this call, we will be referring to non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with Generally Accepted Accounting Principles. Reconciliations of the non-GAAP financial measures to the most directly comparable GAAP measures to the extent they are available without a reasonable effort are available in the appendix to our investor slide presentation, which is available in the Investor section at our Website ir.casella.com. And with that, I'll turn it over to John Casella who'll begin today's discussion.
John Casella: Thanks Joe. Good morning everyone and welcome to our third quarter 2018 conference call. We are pleased with our third quarter results and our continued execution against key strategies. Strong operating performance and free cash flow growth continues to be driven by our execution of our 2021 plan with outperformance of our pricing strategies and outperformance of our acquisition strategy. From an acquisition perspective including the two acquisitions we announced yesterday, we have acquired approximately $70 million of annualized revenues year-to-date and have exceeded our goal of $20 million to $40 million. We are excited about the early success, we’ve had along with the robust pipeline and growth opportunities that still exist. We are actively working on acquiring several more businesses that are on various stages of progress and look forward to updating you on these as we move forward. Though the acquisition phase, growth phase through the acquisition growth phase, we’ve retained our focus and discipline on core business, including our pricing programs. In the quarter, we increased solid waste pricing 4.8% year-over-year. Our strong financial performance in the solid waste, organic and customer solutions group was again muted by recycling commodity price pressures. However, we remain confident in our ability to more than offset this headwind through continued outperformance and strength through the remainder of the business. Therefore, we raised our revenue, adjusted a bit of a normal free cash flow guidance ranges for 2018. We announced our 2021 plan last summer and I’m pleased to say that we are tracking well against this long-term plan. At the time we announced our 2021 plan, we put forth the goal to grow normalized free cash flow by 10% to 15% per year. This annual growth rate equated to approximately $50 million to $60 million per year of normalized free cash flow by the end of 2021. Given our early operational success in acquisition growth, we are confident we will generate $50 million of normalized free cash flow in 2019 or early 2020. We expect to continue to grow normalized free cash flow 10% to 15% per year and we're on track to exceed this goal in 2018 with 15% to 20% growth. The focus of the five key strategies of our 2021 plan will remain intact and I'd like now to provide some highlights on each. The first strategy is 2021 plan was increasing landfill returns. We continue to enhance returns through price executions, operational programs, sourcing of new volumes at higher prices and our efforts to [Indiscernible]. During the third quarter, we increased our average landfill price per ton by 8% and at the same time increased landfill tons year-over-year. As I mentioned, we remain very much focused on the execution of our pricing programs, given the backdrop of tightening disposal dynamics across the northeast. We're not only advancing price on existing volumes, but when we're able to we also continue to replace lower priced waste streams with higher priced volumes, thus blending up our average price and helping to improve our returns. Aside from pricing, we're positioned well to further leverage our excess annual landfill capacity as more waste moves east to west coupled with internalization value of our recent and targeted acquisitions. Expanding permitted landfill capacity is an ongoing challenge for all solid waste operators in the Northeast, and Northeast has one of the toughest regulatory and political environments in the country. The good news is most of our landfills have over 15 years of permitted capacity and we continue to make progress, advancing key permitting activities. During the quarter, we announced the permit expansion at the Clinton County landfill from one hundred seventy five thousand tons per year to two hundred fifty thousand tons per year. This site will serve as a key disposal outlet over time. We also made progress during the third quarter, moving towards closure and resolution to the ongoing matters of the Southbridge landfill. We settle our lawsuit against our environmental insurance recovery and have paid us $10 million as part of that settlement. This is a big accomplishment by our legal and engineering teams and we'll reimburse cash. We've already spent and helped to fund planned cash outflows with the closure of the site. We have another important victory at Southbridge during the quarter. As you remember, we were sued by several environmental activists under the Clean Water Act and [Indiscernible] for alleged contamination of groundwater at Southbridge. Whether data has always clearly illustrated that these claims were false, matters like these are always quite complicated and the facts don't always seem to matter to regulators as the courts. Well we want a big one as the United States District Court in Massachusetts dismissed the lawsuit and now working on remaining matters to cap and we expect -- we expect to place the final funds itself raised in the fourth quarter. A second strategy in the 2021 plan is driving further profitability within a business, hauling business. Ed will run through more details, but we continue to outperform and execute well against our pricing and operational strategies. Our risk mitigation SRA and E&E fee programs again work well to offset recycling commodity pressures and high fuel cost during the quarter Even as these fees have escalated, given market conditions, we've only experienced limited customer loss and price rollbacks. Our teams continue to do an excellent job in integrating acquisitions, which is an important part of driving free cash flow growth and additional shareholder value. Our third strategy in the 2021 plan is create creating incremental value through resource solution. We continue to advance profitable growth in our customers' solutions and organic businesses, while the recycling business remains a large headwind. The customer solutions team had a big quarter, with adjusted a bit of growth of 90% year-over-year as they continue to capture a share of wallet from major industrial customers across our franchise. We continue to see this as an important growth area through our 2021 plan. In recycling business, average commodity revenue per ton was down year-over-year and while we also seen our variable costs and we have also seen our variable costs increase. On a positive note, we've seen recycling commodity prices stabilize and slightly improve over the past few months. With this, our trailing SRA fee fully recovered higher recycling costs and our hauling operation in the quarter. Moreover, this program offsets the risk for roughly one third of our volumes. Many of the remaining volumes have an appropriate risk mitigating contract structures in place. However, we're still absorbing all of the commodity risk on several legacy third party contracts, which is driving much of our year-over-year decline in adjusted EBITDA for recycling. We should note that we first experienced the sharp decline in recycling commodities about a year ago. So we started to comp easier periods going forward and we'll continue to make progress renegotiating underwater contract and pushing contamination fees back to our customers. Our expectation for 2019 is that recycling will provide a tailwind even if commodity prices stay at these low levels as some of the largest third party contracts reset over the next year. The fourth strategy in the 2021 plan is using technology to drive profitable and efficient growth. Over the last year, we've developed the long term technology plan that seeks to enhance our profitable revenue growth and drive efficiencies across our operations and back office administration. We believe that there is a lot of room for improvement in how we interact with our customers, sell services, router [ph] trucks, run our integrated operations and manage our back office administrative functions. As we further develop our technology plan and strategy, we’ll likely enhance our goal to reduce G&A cost with sales and operating targets. We continue to be pleased with the early progress we've made against this strategy, which includes successfully closing our books over the last three quarters of our new NetSuite ERP system. Again, a tremendous effort by the entire team to bring that project in, on time, and on budget. Moving to our final strategy in the 2021 plan, which is allocating capital to balance delivering with smart growth. As I mentioned, we're very pleased with the execution against our strategy thus far as we've outperformed our goals and believe that we have an opportunity to outperform these goals in 2019 as well given the strength of our near-term deal pipeline. Most notably, the acquisitions that we've done in the Rochester market, is a really clear indication strategically of what we're trying to do. We have in that market additional disposal capacity at some of our disposal facilities and the activities that we've had from an acquisition standpoint in that Rochester market is a clear indication of being able to create value with that additional capacity that we have from a disposal standpoint. Overall, our mid-term acquisition pipeline remains robust, and we believe there to be over $400 million of acquisition opportunity across our footprint that could be great strategic fit, and direct tuck-ins or new market opportunities. One area that is not specifically outlined in our 2021 plan but is very important to our continued long-term success and analyze some of our initiatives is our focus on further building our team. With the help of human resources team, we've initiated the implementation of career path program for maintenance technicians and drivers. We're also working on introducing the program to recycling facility, landfill technicians [ph] in the near-term and ultimately a career path for all positions within the company. Career path program incentivizes key roles to enhance both their skills and their earnings potential by giving our employee a measurable and transparent path to advancement. We believe that the program will improve our employee satisfaction, help recruitment, reduce turnover and ultimately lead to higher productivity and lower safety incidents. We are very excited about this program for our season [ph]. Wrapping up, our raise 2018 guidance is tracking well against our 2021 plan, and displays continued execution of our key strategies with the goal of driving additional shareholder value. We expect that continued strength and solid waste in our acquisition growth platform to offset recycling headwinds and while anticipating a tailwind from recycling next year as several key contracts reset over the next year. And with that, I'll turn it over to Ned to walk you through the financials.
Ned Coletta: Thanks, John. Before discussing the quarter, I wanted to get some context about how well we are truly doing in 2018 excluding the recycling headwinds. For the 12 months ended September 30th, adjusted EBITDA for the recycling business was down t$10.7 million year-over-year. While at the same time, adjusted EBITDA for the remainder of that business was up $16.9 million year-over-year. This has resulted in $6.2 million of growth over this very challenging period for recycling, but it truly underscores how well we're doing and solid waste customer solutions in organics and other parts of the business. Now onto the quarter. Revenues in the third quarter were $172.8 million, up $12.6 million or 7.8% year-over-year with 4% of this coming from acquisitions, 1.5% from our cost recovery fees SRA and E&E fee. 5.7% from organic growth across the business and this is all partially offset by a 3.4% headwind from recycling price and volumes. Solid waste revenues were up $12.7 or 10.7% year-over-year as a percentage of solid waste revenue. Revenues in a collection line of business were up $9.6 million year-over-year with price up 5.7% across all lines of business, volume slightly down, down 0.4%, risk recovery fees up 3.5% and acquisitions adding $3.4 million. Our disciplined pricing strategy has been working very well, balancing customer retention and new business growth with appropriate pricing levels to offset the building inflation across our operations. Revenues in the disposal line of business were up $3.9 million year-over-year with a growth driven by strong pricing, higher landfill volumes, $3 million of acquisition activity, all partially offset by business interruption at a transfer station that we're rebuilding after a fire that forced us to close the facility in late June. The temporary closure of this transfer station resulted in an $800,000 headwind to revenues. This accounts for all of the decline in the disposal volume metric. We increased reported landfill pricing by 4.1% year-over-year. And more importantly, we increased our average price per ton at the landfills by 8% as we improve the mix of our customers and volumes. We expect these same positive pricing trend to continue into 2019, as we recognize the rollover impact of price increases already completed and we advance further pricing in key markets. Landfill tons were up 2.8% year-over-year with strength across all markets and all waste categories. We expect landfill tons to be down year-over-year in the fourth quarter as we need the slower run rate at several sites to fall within our annual permit limits. The tightness in the market gives a great pricing backdrop coming into 2019. Recycling revenues were down $5.5 million year-over-year with $6.6 million lower commodity pricing, $2.3 million of lower volumes, partially offset by $3.5 million [Indiscernible] tipping fees. This does not include what we passed intercompany though, which was also up year-over-year. Our average revenue per ton or ACR as we call it was down $59 a ton or 48% year-over-year mainly on lower fiber pricing. Mixed paper prices were down 72% year-over-year and OCC prices down 38% year-over-year. We did see commodity prices hit bottom and start to improve sequentially through the third quarter. Organics revenues were up $3.8 million year-over-year at higher volumes. This is mainly associated with the new two year sludge contract that we talked about through the first and second quarter. This contract has negatively impacted adjusted EBITDA margins by roughly 10 basis points in the quarter as we passed through third party transportation disposal costs. But on the positive side, the contract requires no CapEx, has great free cash flow and very high returns. On to customer solutions. The revenues were up $1.6 million year-over-year due to several new multi site retail customers, and continued good growth in our Industrial Services business. Adoption of AFC 606 revenue recognition reduced our reported revenues and cost of ops by roughly $1.6 million each during the third quarter. This change benefited our margins by about 20 basis points during the quarter. Adjusted EBITDA was $42.4 million in the quarter, up $2.9 million or up 7.3% year-over-year with margins slightly down to 24.6%. As commodity prices improved sequentially from the second to third quarter, our trailing cost recovery fee, the SRA fee and trailing revenue share contracts where applied fully recovered lower commodity prices, albeit these programs are designed to recover costs and have a result -- have resulted in impacting margins. Solid waste adjusted EBITDA was $40.5 million in the quarter, up $4.2 million year-over-year with strong pricing and higher landfill volumes, partially offset by lower collection transfer volumes. Increased intercompany recycling tipping fees were fully recovered during the period by higher SRA fees and our fuel costs were fully recovered by our floating E&E fee. Solid waste for adjusted EBITDA margins were 30.8% up 20 basis points year-over-year. Our higher cost recovery fees negatively impacted margins by about 40 basis points during the period. Recycling, adjusted EBITDA was down $1.1 million year-over-year with the decline driven by lower commodity prices and lower volumes. Our variable processing costs were also up during the period, $1.2 million as we had the slow processing speeds that are merged to meet higher quality standards, our rising new costs were also up as we pulled more waste out of the stream and our third party disposal rates were up. We talked about this the last few quarters, our transportation costs have more than doubled as we've had to reach new markets such as India, Vietnam. Adjusted EBITDA was $1.3 million in the other segment, down slightly year-over-year, which is mainly a function of our year-over-year differences in corporate management fees. The Customer Solutions, we’ve had a great quarter as John said, with adjusted EBITDA up $600,00 or 90% year-over-year and very strong execution of the industrial strategy. Cost of operations was up $10.3 million year-over-year with increasing cost mainly driven by higher volumes, acquisition activity, inflation in flat cost categories and higher recycling cum processing and transportation costs. Our general administrative costs were down [ph] $200,000 [ph] year-over-year. The decrease was mainly on lower incentive compensation accruals partially offset by higher legal expenses during the period and a slightly higher bad debt expense and several customer bankruptcies. Depreciation and amortization costs were up $1.6 million year-over-year mainly due to higher landfill amortization expense and higher volumes and higher depreciation as we continue to execute against the fleet in yellow plants. And the third quarter did include several unique items that you may have noticed. As John mentioned earlier, we received a $10 million cash insurance settlement from our environmental insurance provider during the quarter. This game was partially offset by $0.5 million of ongoing legal and engineering expenses we incurred as we closed the Southbridge landfill. We also incurred $580,000 of expense from acquisition activities as we completed two larger acquisitions during the quarter and worked through a documentation and diligence on several other transactions that closed early in the fourth quarter. Our normalized free cash flow was $37.3 million year-to-date, up $2.9 million or 8.5% from the same period last year. The increase was driven by improved operating performance, partially offset by a reduction in cash flows from a change in our assets and liabilities and by higher capital expenditures due to landfill construction timing differences, and higher expenditures on revenue growth. As of September 30th, our consolidated net leverage ratio was 3.54 times, which is down almost 1.9 times since December of 2014. Our total debt net was $528.2 million, which is up $30.5 million from December 31, 2017. Our debt though is up mainly on acquisition activity and some fees incurred from the refinancing of our senior secured debt earlier in the year. As we laid out in our 2021 plan, we remain focused on further reducing leverage in the business with a goal of getting leverage down to three to three and a quarter times through continued capital discipline, balanced with smart growth investments. During the quarter, we continued our efforts to reduce floating interest rate risk exposure by entering into another $45 million of floating and fixed LIBOR slots. We have now fixed the interest rate on roughly 61% of our debt or almost $325 million of debt. This is up from 34% to March 31st of 2018. As we laid out last quarter, given the historically low recycling prices and the ongoing cost pressures in the recycling business, we expect recycling adjusted EBITDA for 2018 to be down roughly $10 million year-over-year. Despite this significant headwind, and given the continued strength in our solid waste, organic, and customer solutions operations, combined with our success in advancing acquisition activity we have increased our revenue, adjusted EBITDA and normalized free cash flow ranges for the year. These ranges can be found in our press release. One thing to point out though is our cost recovery fees are doing a great job, recovering offsetting commodity and fuel risk. But they do gross up revenues and compress margins and to give you a sense of where we are through the year, these fees were estimated to be up roughly $12.5 million year-over-year for the full 2018 period and this will compress our margins by about 60 basis points. In addition, our recycling business is estimated to impact margins by about 160 basis points for 2018. These two factors are masking a lot of margin expansion in other areas through our great work in advancing pricing and cutting costs. And with that, I'll pass it to Ed.
Ed Johnson: Thanks Ned, and good morning everyone. We're very happy with our progress year-to-date and certainly look forward to a strong close for the year. For the quarter, [Indiscernible] and disposal operations continue to be well ahead of plan overcoming the headwind from commodity prices in the recycling segment. We are successfully managing through what I call it dynamic environment, so I just thought it would helpful if I walk through our pricing programs and our margins and how we are staying ahead of the game while positioning ourselves well for the future. Our consolidated cost of ops as a percentage of revenue was up 120 basis points in the quarter versus the prior year. As reiterated from past calls this is primarily due to the China-lead drop in commodity prices and the effect on margin in that segment of our business. There are other changes in the Northeast that are causing some additional minor margin compression, but strongly benefiting the bottom line. There are also some long-term strategic moves we are making that change are solid waste business mix, improving our ability to capture and control tons from markets with increasing demand and shrinking supply. Breaking down our solid waste component into its components, our collection operations generated about 46% of our revenue in the quarter and we achieved 5.7% price on those revenues. Now, 5.7% is a great number, but does not include year-over-year additions to our pass-through fees like our fuel surcharge which is embedded in our E&E fees and SRA fees. In addition we’re in markets with rapidly increasing disposal prices in a very competitive labor environment. The good news here is that we have not only covered these cost increases, but have been able to retain our margins. Cost of ops as a percentage of revenue is flat year-over-year. Adjusting for the pass-through fees and related cost, we improve our core cost of op percentage by 35 basis points. Our landfill operations had an outstanding quarter. We reported 4.1% price improvement, but the most important average price per ton was up 8%. Tons were up 2.8% as well as we see strong demand in the marketplace. As you know the landfill operating costs are highly fixed, so the additional volumes and prices grow over 50% or 50 basis point improvement in our cost of op percentage over the prior year in that line of business. With landfill closures coming in the east our transfer operations are becoming more and more strategically important [Indiscernible] to our landfills. Our transfer operations charge local market rates and operate to make up, but also to support the higher margins of our local collection operations in landfill. During the quarter transfer operations that we acquired and began operating since the third quarter last year, diluted our total solid waste margins by about 60 basis points. But that was about 60 basis points better than plan, so we’re pretty happy with it. This leads me to a few strategic comments. As we execute our acquisition strategy we are acquiring collection businesses that either come with their own transfer station or will feed into one of our existing transfer stations and eventually that waste will be internalized into one of our landfills. Although expanding the transfer station model we’ll compress margin in the short run. It will improve our cash flows and make us more profitable by filling unused capacity in our landfill network. And in the long run, it will make us more recession resistant by giving us more control of our landfill volume. My second is on pricing. Although 8% average price improvement at the landfill is strong, we believe the supply and demand balance supports an aggressive approach. The state of Massachusetts is in particular which is knowingly forced -- forcing the – as knowingly force the out of state export of waste will certainly see continued upward price pressure as they’ve added their disposal system, the cost of handling and transporting the waste long distances. The Northeast is certainly becoming one big regional landfill market. Capacity is tight and the opportunity to reset pricing at the appropriate level although weighted the curb is now. Okay. As I step down from soapbox, I want to close by welcoming the employees of Youngblood Disposal, Silvarole, WeCare, Valley Sanitation, Oceanside Rubbish and Boon & Sons. We’ve been very impress to our due-diligence with your operations and strive to provide you and all of our team members with a great culture in which to work and with exceptional opportunities for each of you to succeed in your career goals with us. With that, I’d like to now turn it back to the operator to start the question and answer session.
Operator: [Operator Instructions] Your first question comes from the line of William Grippin. Your line is open.
William Grippin: Hi. Good morning, everyone.
John Casella: Good morning, William.
William Grippin: So -- my first question was just – I was wondering if you could walk us through the puts and takes on the 2019 revenue growth of 5.5% that was noted in the press release. It seems to me like the rollover impact of acquisitions will get you most of the way there on its own in 2019. So any color you have there would be helpful?
John Casella: Yes, Will, I’m sorry, if there’s confusion about that. So, we expect revenue growth in 2019 of over 10%, the 5% is just from the rollover impact of acquisitions already completed. In 2018 our solid waste pricing should be north of 3.5%. I should note first, we haven’t finished budgeting yet. So this just on a run rate basis as we look at things. We don’t expect solid waste volumes to be materially different than where they have been. We’re kind of running about 1% plus range looking at pricing the last 50 [ph] across the business. We’re going to have positive growth in recycling unless something radically changes even if pricing stays where it is. We expect the rollover several contracts as we talk about. And then please remember we’ll have about 2% revenue impact, negative impact from the closure of Southbridge we’ll be closing the site in the coming weeks.
William Grippin: Okay. That’s helpful. And so, yes, you mentioned recycling, I was just wondering if you could talk about it. I think there is three sort of legacy contracts that are not currently subject to the SRA. Have you been involved in preliminary discussions with those customers? And if they sort of pushed back on the fee, I mean is it business you’d walk away from more [ph]?
John Casella: Yes. We’ve had preliminary conversation with all of those legacy contracts and we’ll walk away from the business, either way we’re going to better off next year from a recycling standpoint, because those legacy contracts come up in the next 12 months. So we’re going to be – we’ll be much better off. It’s not business that we would need to keep. I don’t think that – it’s our view that, it’s more likely that the contracts would be renewed than that we’ll be walking away from anything. The location of our recycling facilities for those larger contracts is a critical component in terms of the overall ability to provide that service. So I think it’s – it’s our view that it’s more likely that those contracts would be renewed at a profitable rate.
Ned Coletta: And John said in his prepared comments I think it’s important to note is that in September the month of September our EBITDA was up year-over-year in the recycling business. This is the first time in over 15 months that we’ve had improvement. And it’s really due to couple of factors. One is, we’ve seen a very slight sequential improvement in commodity prices to that’s scale. We’re starting to comp a lot easier periods. The real substantial decline started to happen in August and September of 2017. And then the last point is, we’ve been improving contracts and really even shifting our business structure. One of the areas we’re very very focused on right now is contamination. So, we need to make sure we’re getting quality material into our recycling facility. We’re not signed up to take garbage from people. So if we’re getting 25% to 30% inbound contamination we’re holding people through their contracts and we’re starting to impose new contamination fees which are also helping us to generate revenues in some of the areas maybe don't have to risk mitigation programs in place like the SRA fee.
William Grippin: Thank you. And then my last question was just on how you’re thinking about SG&A spend trending in absolute dollars as you begin integrating these larger deals that you been doing. Should expect to see that tick up or do you think you can kind of manager and keep it flat?
John Casella: Yes. So, our intention with some of our technology investments is to gain G&A and its also our intention to be in a letter is also intention to gain some leverage with acquisitions, the absolute dollars are going to come up, because we’re adding some new locations for absolute new management, but we are conservative in our approach. We’re looking – I don’t have as a percent of revenues. For the year we’re looking to come out around 12.7% roughly, 12.6% to 12.8% kind of in that range. And as I said earlier, we have not finished budgeting for next year, but it is really our intention to not scale G&A at the same rate as we’re bringing on revenues from the acquisitions.
William Grippin: Perfect. Thank you.
John Casella: Thank you.
Operator: Your next question comes from the line of Corey Greendale. Your line is open.
Corey Greendale: Hey, good morning, and congratulations on all of the great results. So, I just had a few questions. First of all, maybe this is nitpicking – everything is really good. You talk and you gave detail on the year-over-year margin impact. If I look at just the EBITDA dollar in solid waste business, I think it’s up like 4.5 million year-over-year and just the absolute dollar amount is up a little less than I might have expected given the strong price. Can you talk about kind of maybe just reposition some of things you talk –been talking about more of the cost offset that might be affecting the absolute dollar increase?
John Casella: Yes. I think it’s a good point. It’s hard to look at it all, because we’ve got some really successful fee programs working like that SRA fees, the fuel fee, so revenues are grossing up, but our cost are also grossing up. But the good thing is we fully recovered both intercompany recycling increases year-over-year and fuel increases. So we’re very happy about that. So part of our cost and part of our revenue, we almost put this aside where there is offsetting risk. And if you go across the rest of the business, I don’t Ed if you want to talk about some of the inflation we’re seeing in other categories.
Ed Johnson: Yes. So, I think it’s pretty well-known to the industries that CDL drivers, the mechanics, there’s definite shortage. Nationally we’ve been very good with our career path to attract new talents and to battle that shortfall, but we’re also adjusting wages. So there’s a wage inflation built in and what I talked about for the hauling side of the business that was part of what we’ve been able to recover and keep our margins with our pricing program and the collection operation.
Corey Greendale: And if I think about just the underlying level of labor cost inflation, if you can put a number on that?
John Casella: Yes. 4%, and probably about 4%. Normally, we’re thinking in a 2% range, but we’re clearly around 4% inflation. And I think that probably some of the increases as Ed said, what we did before we started career path from the driver perspective, we went out on market by market and really the market evaluation and adjusted wages to make sure that we’re at market.
Corey Greendale: Okay. Thank you. And then on the collection business the pricing quite strong and it sounds like there was a little bit of volume loss as a result of pushing strong price? Just if you give out some insight to how you’re thinking about that? And the trade off we saw in Q3, is that about what we should expect or you didn’t expect to get more aggressive on price and risk losing more volume to that trade-off?
John Casella: Yes. It pose some volume trade-off, but when you get under the hood a bit in our front load commercial line of business our volumes were up about over 2% in our rear load resi line of business our volumes were up a little bit over 1% and our roll-off line of business were down a little bit and we’re really trying to flex price and the roll-off line of business we have a very tight landfill market. We’re trying to reset prices higher. So we are trading more there on the residential and commercial side of business to inflation to inflation and we need to push back the true cost of doing business both from a labor standpoint and from a disposal recycling standpoint. So we’re not seeing the same loss as our sales force, our GMs have done a really nice job working with customers and helping them to understand the changes in the market.
Corey Greendale: And you think the roll-off, trade up, the volumes you’re losing there. How much of that winds up in your landfill anyway?
John Casella: We are good better there and we’re filled up as much as we want to be in 2018 as we talk about we’re having to ease up volumes as we glide to the fourth quarter to meet permit limit, which is good [Indiscernible] to have coming into 2019, because it sets a nice pricing tone coming into our reset on may customers.
Corey Greendale: Okay. And then my last question is just you've obviously picked up the M&A activity at least in terms of number of actions [ph] pretty meaningfully, just interested in given that -- that that muscle hadn't been flexed in a while, how the and I know these are predominately talking as how the integration is going. And if there's complexity around that given that you haven't been doing a lot of acquisitions and given that you just changed you're back and ERP system it complicates or makes it easier.
John Casella: I think that they are moving to the new NetSuite system in the cloud is really going to pay some dividends on a go-forward basis, because we're going to have everything on one database. It's a pretty, pretty exciting and I think it's really going to help with back-office costs. From an integration standpoint, the integration is really at the field level, in fact the regional V.P. level and they're very much involved with the acquisitions sponsor them, it's their teams that put the performance together, their team that's going to be held accountable to the performance. So, I think, from a practical standpoint, there are resources that you few small amount of resources that we put in place and we'll continue to evaluate the execution of the integration to make sure that we have the resources necessary to get that done. But again, the vast majority of that will be done at the field level, at the regional team level. And they are doing a great job, and a terrific job.
Corey Greendale: Great. Again, nice work.
John Casella: Thanks, appreciate it.
Operator: Your next question comes from the line of Michael Hoffman. Your line is open.
Michael Hoffman: Thank you for taking my questions. So, can you just clarify your calculation of price when you reported what – what, is that measure of the average rate that you've achieved, or is that the price you've gone to the street with and then the retention and losses are captured in volume. Well, I just want to make sure we're comparing apples-to-apples across the peer group.
John Casella: We don't play any games with our pricing stats. It's the same customer, same type of service. How much we changed their actual price year-over-year. We don't even do a shorter period like that's like some of our peers do. So if there are any rollbacks or any changes, it’s captured in the actual price statistics, and everything else gets pushed to – unless it’s the fee. And our fees are carved out separately, they're tracked separately, such as SRA fee or the E&E fee.
Michael Hoffman: So then obviously everybody is pressing this issue on margins given the depth of the price. What's the actual fall in all internal costs of inflation? Is it, really running at 3% or 4% that….
Ned Coletta: On labor for sure. On [Indiscernible] role basis.
John Casella: So we know -- we run market based pricing. So what we give externally for landfills or recycling facilities, we give to our own hauling companies that can pass it back to the curb. So during the year, we gave anywhere from 6% to 10% price increases from our disposal sites to our hauling companies. And as you know, we've given very large increases in the quarter alone at $2 million year-over-year increase in tipping fees between our recycling facilities and our hauling company. So as Ed pointed out, we've taken a lot of inflation from disposal, from recycling and we've effectively gotten it back to the curb and we've expanded margins a little tiny bit in collection even with the inflation fee. So you kind of have like through inflation labor, parts, tires, things like that, but you also have us running a market based system where we're passing back through to some of those profits show up in the landfill, some of those show up -- shows up in the recycling business as well.
Michael Hoffman: Okay. So the play-off on that would be we ought to be seeing and improving cash-on-cash return aspect of the business. And that, I guess that's where we really ought to be looking is that while margins maybe shouldn't be the focus we ought to be looking at the quality of the cash returns. Can we talk about that and what's happening in the model and whether the business is converting more cash out of it faster?
John Casella: Yes, we look at return on net assets that statistically look at, and we're running right around 10% returns right now. So that's very positive. Our free cash flow conversion as you know continues to improve, but it is slightly masked by the fees that have been gross stuff. So you almost have the access to the site to see what's happening in the core business, and we are improving our cash on cash returns.
Michael Hoffman: And that is about 12 million?
John Casella: [Indiscernible] year-over-year.
Michael Hoffman: So year-to-date we should pull 12 million out of a year-to-date revs and then look on the cash flow and…
Ned Coletta: On site, -- for the full year we expect our fees to be 12.5 million for the year-to-date at 9..
Michael Hoffman: 9…
Ned Coletta: Yes, 9 year-to-date.
Michael Hoffman: So maybe that’s possibly a better way to think about this in this inflationary environment is that your holding margins stable-ish, but you're producing better cash and that -- that really ultimately is the real measure of the quality of garbage companies, the ability to accelerate the cash conversion of the model.
John Casella: Yes absolutely.
Michael Hoffman: Okay. All right. Thanks
John Casella: You're welcome. Thanks, Michael.
Operator: [Operator Instructions] We have a question from Michael Hoffman. Your line is open.
Michael Hoffman: Since I got this chance ask one follow up, which I should have asked in the first place. Why not reset the 2021 goal, given that you're well ahead of the pace of acquisitions and just give us a pro forma adjustment for it?
John Casella: Yes, we – we put these plans together, and we've tried to do it for a few years now. It gives people some visibility into our long range plans, and it's hard to get everything right. So it's funny, I flashback in my mind to the summer of 2017 and we were right about one thing. Organically we're growing free cash flow 10% to 15% a year, given where we are and our programs. You tap on some inorganic growth acquisitions were more like 15% to 20% a year or maybe higher if we do more acquisition activity. The $50 million I threw out there was just kind of like a base minimum. And if we kind of rolled the numbers forward from the summer of 2017 to 2021. You could get anywhere from $50 million I think, $60 million or $65 million if you used our growth rates. So we just threw that out there as a base. Well I think you can see now Michael that that base is going to be surpassed. As John said a little earlier, we'll probably hit $50 million in 2019 or early 2020. We haven't finished our budgeting yet. So I don't want to get ahead of myself, but if you look at that. I think the more important measure is how fast we'll grow and we'll probably just abandon the $50 million. It's not an important metric. It's more of we're growing 10% to 15% organically and then in 2018 we're actually going to end up growing three cash flow 15% to 20%.
Michael Hoffman: Okay.
John Casella: Yes, and one thing that I think is important to note is, as we're ramping up acquisitions, it's going to take a year, two years with some of these to fully pull in synergies whether it be internalization they have existing third party, disposal contracts, or if we have to put businesses together, how this goes, it’s take a little while. And just looking at where things ramp through this year and into next year, is I think an important thing. So we expect through this year to have about $6 million of EBITDA contributed from acquisitions which is helping to offset quite a bit of that recycling headwind. Coming into next year, we expect in 2019 to have $8 million to $10 million of rollover impact from the acquisitions we've completed to date. But that's not the full run rate, you'll be into 2020 till we reached the full run rate, which will be more like 25 plus percent margin on the acquisitions we've completed to date. So I think it's important to note where it's going to take a little while. We had a great pipeline coming into this year of acquisitions and things have happened a bit faster than we had originally planned. And we've got some integration work to do.
Michael Hoffman: Okay, thank you.
Ed Johnson: The other thing that is that is very clear to is all of the pressure from a labor standpoint, from a disposal standpoint, from recycling standpoint has just made the acquisition strategy even more powerful because there’s tremendous amount of activity out there and difficulty for most of the independence.
Michael Hoffman: Okay.
John Casella: Thanks, Michael.
Michael Hoffman: Thank you.
Operator: I’m showing no further questions at this time. I would now like to turn the conference back to Mr. John Casella.
John Casella: Thanks everyone for your attention this morning. We look forward to discussing our fourth quarter 2018 earnings and our 2019 guidance with you in late February of next year. Thanks everyone. Have a great day.
Operator: Ladies and gentlemen, this concludes today’s conference. Thank you for your participation and have a wonderful day. You may all disconnect.